Operator: Welcome to The Priceline Group's Fourth Quarter 2015 Conference Call. The Priceline Group would like to remind everyone that this call may contain forward-looking statements which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals or expectations or similar expressions reflecting something other than historical facts are intended to identify forward-looking statements. For a list of factors that could cause the group's actual results to differ materially from those described in the forward-looking statements please refer to the Safe Harbor statements at the end of the group's earnings press release as well as the group's most recent filings with the Securities and Exchange Commission. Unless required by law, The Priceline Group undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. A copy of the group's earnings press release together with an accompanying financial and statistical supplement is available in the For Investors section of The Priceline Group's website www.pricelinegroup.com. And now I'd like to introduce The Priceline Group's speakers for this afternoon, Darren Huston and Daniel Finnegan. Go ahead gentlemen.
Darren Richard Huston - President, Chief Executive Officer & Director: Thank you. Welcome to The Priceline Group's fourth quarter conference call. Thank you for joining us before the market opens this morning in New York. I'm here in Amsterdam with Priceline Group's CFO Dan Finnegan. The group reported another solid quarter with consolidated gross bookings of approximately $12 billion up about 24% on a constant currency basis, 13% year-over-year in U.S. dollars. Our customers booked accommodation reservations for over 99 million room nights in the quarter, up 27% year-over-year. Gross profit was up 12% or about 23% on a constant currency basis. Adjusted EBITDA was also up 11% to $790 million. And finally, our non-GAAP earnings per share was $12.63 surpassing FactSet consensus estimates of $11.81 per share and our guidance for the quarter. Now, I'd like to take a moment and reflect back on our full-year results. Our customers made reservations for over 432 million room nights on Priceline Group platforms in 2015, over twice as many as our next biggest competitor. Despite the law of large numbers, we organically grew this business at 25% down only 3 percentage points from 2014's growth rate and exited the year growing more quickly than we were growing when we entered it. The business was very profitable generating $3.7 billion of adjusted EBITDA and a 42.6% non-GAAP operating profit margin. I believe that the solid performance in 2015 and many consecutive years of strong growth and profitability have been made possible by competitive advantages we have developed through the skill and hard work of our people around the world. Our capabilities and scale in partner acquisition, customer experience and efficient demand generation plus our large installed base of accommodations and loyal travelers give The Priceline Group a competitive moat that is deep and wide. Let me expand on this point a bit, being a leader on online travel and building and experienced marketplace isn't achieved by simply electronically connecting demand with supply. It may be a surprise to some but about two-thirds of our employees are working in either the supply or customer service organizations. Only KAYAK, our one media asset does not have a similar model. Our employees work out of 239 support offices in 173 cities around the world working daily with partners and customers to deliver the absolute best booking experience wherever our customer comes from and wherever they're going. On the supply side, we added 200,000 properties during the year on Booking.com covering everything from igloos to shared estates while maintaining stable take rates and a fee-free model to the customer. Booking.com now has over 850,000 hotels, homes and other places to stay in over 220 countries and territories across the globe, up 34% from last year. The hard work of making this a daily reality is achieved by thousands of dedicated and energetic people around the world having these properties and then working with our partners on an ongoing basis to ensure that our customers have the most choices of places to stay at the best prices available. We offer by far the most directly bookable lodging choices to our customers, with over 22.6 million rooms potentially available on our websites, including 6.9 million rooms in vacation rentals and other non-hotel properties. With our worldwide team and market-leading profitability, we are expanding this low friction model more aggressively into the single-owner, single-room market as it continues to mature. We strongly believe that this fee-free experience-centric model, which makes booking homes and apartments as easy and trustworthy as booking a hotel, will be the winning model long term. On the customer experience side, the complexity of providing a world-class digital experience for customers becomes more daunting each year with various browsers and operating systems offered on desktop and mobile devices. On top of that, you have new platforms and capabilities being built every day, and for each of these, we need to make an intelligent decision about where and how to participate. The good news is the tools are becoming better and customers continue to want to live more of their lives digitally. We have over 2,500 talented developers and other technology professionals working across our brands to offer our customers the best online booking experience on our desktop and mobile websites and app optimized through hundreds of thousands of experiments. We believe Booking.com has the highest converting online accommodation reservation path in the world, achieved through a deeply ingrained culture of innovation, the result of experimentation at a transactional data scale and velocities that few companies can match. Our content is best in class with high-resolution photos, detailed property descriptions and 77 million plus verified and fresh reviews for properties in even the most far-flung destinations. We have thousands of customer service professionals stationed all over the world, helping our customers in 42 languages 24 hours a day, 7 days a week. We think our approach adds up to a great experience for our customers, which helps us continue to grow the direct share of our business with outstanding everyday pricing and repeat traffic versus the alternative, which is to buy the business with coupons or discounting, transaction by transaction. Booking.com surpassed 100 million customer accounts during 2015 and had our one billionth guest stay at one of our partners, approximately 300 million of those in 2015 alone, another testament to our success at earning long-term loyalty. We invested $3 billion in marketing during 2015 to build our brands around the world and bring new customers to our websites at profitable ROIs. Our historical competitive strengths on the desktop have translated very well to mobile. Our talented teams use proprietary quantitative tools to manage bidding on hundreds of millions of multilingual keywords across desktop and mobile platforms, successfully balancing ROI discipline with strong growth. We continue to command a leading share of the demand channels we participate in, profitably converting shoppers into buyers and buyers into loyal long-term customers. Every year is an investment year at The Priceline Group. Well, every year is also an opportunity to deliver outstanding bottom line results. We evaluate every opportunity with a long-term lens, requiring that it deliver value for our brand franchises tomorrow beyond just delivering transactions today. 2016 will be no different as we invest in exciting new opportunities like OpenTable's international expansion or BookingSuite cloud software offers, or Booking.com for Business while maintaining superior operating margins that will allow us to win in the face of heated competition. And you can be confident that we're not standing still. The Priceline Group will continue to work hard to stay a step ahead of the competition with our unique combination of institutional knowhow, culture, systems and focused passion. We don't take any competitor lightly, and we compete ferociously every day, continuously seeking a higher executional gear in every facet of our business. Booking.com, of course, makes up the majority of our business. However, the group also has a portfolio of valuable and complementary brands, each of which makes money and has the aspiration to grow and build vertical mastery in their respective area of focus. We have new leadership at Priceline.com and OpenTable and both businesses are responding with a renewed energy and a strong commitment to profitable growth. Agoda and Rentalcars.com both continued to improve and differentiate their respective products and both look to drive more business direct and through improved mobile experiences. And finally, KAYAK is an outstanding business that is being smartly run and continues to contribute to the group beyond our initial expectations. I give these other brand teams a lot of independence, and this has engendered a real performance-driven culture. Through our portfolio of brands we aspire to achieve the group's mission to help people experience the world and become a global marketplace for experiences. I thank my colleagues around the world for delivering another great year. Their skill and dedication has helped build a great business with strong competitive advantages that have been responsible for our past success and will help us continue to succeed in the future. I'll now turn the call over to Dan for the detailed financial review. Dan?
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: Thanks, Darren. I'll discuss some of the highlights in operating results and cash flows for the quarter and then provide guidance for the first quarter of 2016. All growth rates referenced in my comments are compared to the prior year comparable period unless otherwise indicated. Q4 was a strong quarter for The Priceline Group with accelerating room night growth and a second consecutive quarter of solid operating margin performance. Growth was strong across all channels and geographic regions, which we believe indicates a generally healthy macro travel environment. Our global room night growth rate declined by more than 10 percentage points for a two- to three-week period after the terrorist attack in Paris compared to what it had been before the attack. Growth bounced back strongly in December and this momentum has carried over in Q1, as I will discuss further when I get to guidance. Room nights booked grew by 27% in the fourth quarter, accelerating compared to the 22% growth rate for Q3. Rental car days grew by 11% in Q4 compared to Q3 growth of 13%. Average daily rates for accommodations, or ADRs, for Q4 2015 were up on a constant currency basis by 1% for the consolidated group. Foreign exchange rates again presented a significant headwind to our growth rates expressed in U.S. dollars due to the strong dollar and our business mix, which skews heavily international. Our Q4 gross bookings grew by about 24% on a constant currency basis but by only about 13% expressed in U.S. dollars compared to prior year. International gross bookings grew by about 29% on a constant currency basis and by 16% expressed in U.S. dollars. Gross bookings for our U.S. business decreased by about 8%. We believe U.S. performance was impacted by TV advertising decreases in the second half of 2015 as the Priceline.com team transitioned to their new brand campaign, which recently launched in Q1. In addition, global airfares were down by about 15% over the last several months, according to KAYAK flight search data, which significantly impacts Priceline.com's gross bookings growth but has no impact on gross profit growth. Gross profit for the quarter for The Priceline Group was $1.9 billion and grew by about 23% on a constant currency basis, and by 12% in U.S. dollars compared to prior year. Our gross profit take rates remained stable, as they have been for quite some time now. We believe that our revenue margins have been and should continue to be sustainable due to our position as a relatively low cost distribution channel that drives significant demand to our partners. Our international operations generated gross profit of $1.6 billion, which grew by about 25% on a constant currency basis and by 12% in U.S. dollars compared to prior year. Gross profit for our U.S. operations amounted to $268 million, which represented 11% growth versus prior year. Advertising and other revenue, which is mainly comprised of KAYAK and OpenTable revenues, grew by 17% in Q4 compared to the prior year. Operating margins exceeded our guidance and were similar to Q4 last year. Non-GAAP operating income amounted to 41.3% of gross profit for Q4 compared to 41.4% in Q4 last year. Online ad ROI's were better than our forecast, but online advertising de-levered compared to the prior year, due to the acceleration in gross bookings late in the quarter, which will benefit revenue in Q1 and beyond when checkouts occur, as well as the impact of the terrorist attack on cancellations. Offline advertising came in slightly favorable to our forecast and is down year-over-year due to a shift in spend from offline to online advertising for KAYAK, reduced advertising at Priceline.com as I mentioned a moment ago and the impact of foreign exchange rates on Booking.com's offline advertising expense, which grew by 18% in euros. Non-advertising operating expenses were also favorable to our forecast and only generated 11 bps of margin pressure compared to prior year. Adjusted EBITDA for Q4 amounted to $790 million, which exceeded the top end of our guidance range of $760 million and grew by 11% versus prior year despite the significant negative foreign currency translation impact of the stronger U.S. dollar. Non-GAAP net income increased by 11% and non-GAAP EPS grew by 16%, including increased interest expense from our recent bond offerings and the beneficial impact of lower share count from stock repurchases. In terms of cash flow, we generated $881 million of cash from operations during fourth quarter 2015, which is about 17% above last year and is also impacted by unfavorable foreign exchange rate translation. For the full year, we generated operating cash flow of $3.1 billion and spent $174 million on CapEx, which means about 34% of our gross profit converted into free cash flow. We used our cash during the year to repurchase 2.5 million shares of our common stock for $3.1 billion. Darren just spoke about some of our operational competitive advantages, I believe that our market-leading profit margins, free cash flow, impeccable balance sheet and solid investment rate credit rating collectively constitute a competitive advantage that gives us significant financial flexibility to invest in our business to drive growth and positions us favorably versus our competitors. Our board recently gave us a new authorization to repurchase up to $3 billion of our common stock. We expect to execute this program consistent with the pattern we have established over the last couple years to return capital to shareholders at a pace that we think makes sense based on the price at which our stock is trading and potential other uses for such capital. Our cash and investments amounted to $10.6 billion at December 31, 2015, with about $800 million of that balance in the U.S. Now for Q1 guidance, our quarter is off to a strong start, as I mentioned a moment ago. Some of the strength in December, and thus far in Q1, is likely attributable to Chinese New Year, Carnival and Easter happening earlier this year. Leap year also helps our forecast slightly relative to last year by adding an extra day to the quarter. Although we worry about macro weakness evidenced in slowing economic growth, dropping oil prices and stock market volatility, the macro travel environment appears healthy to us. Lower oil prices have contributed to significantly lower airline ticket prices and leave consumers with more discretionary funds that are available for travel. Lastly, and most importantly, a combination of strong core execution and the benefits of a number of growth investments we've been making are helping to drive the group's success. And I sincerely thank my colleagues around the world for their efforts. Our growth continues to be strong across all channels and regions. Our guidance assumes that our growth rates will decelerate as we progress through the quarter, mainly due to the size of our business and consistent with long-term trends. We are pleased with the brand marketing we get through TripAdvisor's Instant Book ad placement, but given the relative size of our business and our experience so far, we don't expect that Instant Book will significantly impact our top line growth or ad efficiency. Our Q1 forecast assumes foreign exchange rates of $1.12 per euro and $1.44 per British pound for the remainder of the quarter, which will result in average exchange rates that would be weaker by about 2% for the euro and about 5% for the British pound as compared to the prior year. Many other currencies in which we transact are also significantly weaker versus the U.S. dollar than they were in Q1 last year. As a result, our gross bookings, gross profit, operating expenses, adjusted EBITDA and non-GAAP net income will mathematically translate into fewer dollars than they would have at last year's exchange rates for Q1. As you can see in our guidance, the Q1 impact of currency fluctuations on our dollar reported figures, while still meaningful, is less severe than what we experienced during 2015. Barring further deterioration in exchange rates, year-over-year currency comps will become even less challenging after Q1. As I mentioned when we reported last quarter, we will no longer report U.S. gross booking business as a separate statistical metric. We believe that the usefulness of this metric has diminished due to the relative size of our Priceline.com business to our consolidated results, and because our other two U.S. brands, KAYAK and OpenTable, do not have gross travel bookings. The metric also excludes the U.S. inbound, outbound and domestic business for Booking.com. We will continue to report revenue and gross profit for our U.S. business as we have in the past to give insight into its performance. We're also adding guidance for consolidated room night growth to give visibility for this important metric. For Q1 guidance, we are forecasting booked room nights to grow by 20% to 27% and total gross bookings to grow by 18% to 25% on a constant currency basis and by 12% to 19% in U.S. dollars. Our Q1 forecast assumes that constant currency accommodation ADRs for consolidated group will be up by about 1% compared to the prior-year period. We expect Q1 revenue to grow year-over-year by approximately 9% to 16%. We expect gross profit to grow by 20% to 27% on a constant currency basis and by 14% to 21% in U.S. dollars. We expect about 140 bps of deleveraging non-GAAP operating margins compared to prior year expressed as non-GAAP operating income as a percentage of gross profit. The deleverage is mainly attributable to our assumptions for online ad efficiency. Our online advertising efficiency forecast, as usual, assumes deterioration from current levels and provides us with flexibility in a dynamic market to follow our consistent approach of advertising our brands at reasonable ROIs. Our adjusted EBITDA is expected to range between $580 million and $620 million, which at the midpoint is an increase of 13% versus prior year. We estimate that the currency impact on EBITDA growth is similar to the impact that we are forecasting for gross profit. Our non-GAAP EPS forecast includes an estimated cash income tax rate of 16%, comprised of international income taxes and alternative minimum tax and state income taxes in the U.S. We are targeting non-GAAP fully diluted EPS of approximately $9 to $9.60 per share, which at the midpoint is an increase of 15% versus prior year. Our non-GAAP EPS guidance assumes a fully diluted share count of 50.5 million shares based upon yesterday's closing stock price and reflects the beneficial impact of the common stock repurchases we made in 2015. We forecast GAAP EPS between $6.90 and $7.50 per share for Q1. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are detailed in our earnings release. Consistent with past practice, we have hedged contracts in place to substantially shield our first quarter EBITDA net earnings from any further fluctuation in the euro and British pound versus the dollar between now and the end of the quarter. The hedges do not offset the impact of translation on our gross bookings, revenue, gross profit or operating income. They also do not hedge us against fluctuations in other currencies and do not hedge our earnings beyond the first quarter. Our forecast does not assume any significant change in macroeconomic conditions in general or in the travel market in particular. We will now take your questions.
Operator: Thank you. Our first question is from Tom White with Macquarie. You may begin.
Thomas White - Macquarie Capital (USA), Inc.: Good. Thanks for taking my questions. Just one on the TripAdvisor Instant Booking. I think you said no kind of impact contemplated in 2016, but was there any sort of discernible impact to the 4Q room night growth? And then just on your comments on take rates, it sounds like things are stable. I guess – I know this isn't a perfectly clean calc, but if I look at gross profit growth kind of on an FX-neutral basis, that kind of lagged room night growth a bit in the fourth quarter for the first time in several quarters. Can you maybe just comment a bit on the drivers of the delta there if take rates are stable? Thanks.
Darren Richard Huston - President, Chief Executive Officer & Director: Hey, Tom. I'll take the first one on TripAssist and I'll let Dan take the second one. I think one of the headlines is TripAssist is still very early, and as Steve would tell you, they're still rolling out the product. It's important to understand that TripAdvisor makes up low single-digit percentage of our business, and TripAssist within our TripAdvisor business is a small percentage of our business. We have found at least we're happy with the brand impact. That was one of the reasons we did that. We're happy with the consumer behavior we see, but it's still small, and to be honest if it becomes two or three times the size it is today, it's still quite small for us from a materiality perspective. Again, we're happy with the execution. The teams have been connecting really well and we're curious to see how big it can become.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: And on your second question, Tom, if you look at the gross bookings we generated in Q4 and the take rate, the revenue that will ultimately generate from those, the rate is stable. So it's really just a book versus stay difference. We typically see this when we have a quarter where we accelerate to the extent that we did, but due to the lag between when the booking occurs and travel occurs, the growth in gross profit typically lags that growth in gross bookings. And in particular the strength at the end of the quarter last month will benefit to a greater extent Q1 and beyond than Q4.
Thomas White - Macquarie Capital (USA), Inc.: Great. Thank you.
Darren Richard Huston - President, Chief Executive Officer & Director: You're welcome.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Brian Fitzgerald with Jefferies. You may begin.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys. Maybe on OpenTable – first, congrats to Christa as she stepped into that OpenTable CEO role this quarter. You've mentioned OpenTable international expansion in 2016. Can you remind us how many countries they're in currently and where do you see opportunities for expansion? And then along the same lines, there are many players that are attacking that local reservation market on a global basis, how important are the relationships there versus maybe having an all-encompassing platform with reviews, with reservations and maybe even with delivery options, or does it come down to having the best tech and the best competitive rates? Thanks.
Darren Richard Huston - President, Chief Executive Officer & Director: Okay. Thanks, Brian. Yeah. As mentioned in my prepared remarks, we feel really good about where OpenTable is. We knew at the time we acquired it that we might have to make some changes in leadership. Christa has done an awesome job. The team hit all of its Q4 KPIs and these are all about how do we get medium to long term momentum. We are currently primarily in the United States, we also have operations in Japan, the U.K., Germany, we've made an acquisition of AS Digital that put us into Australia. There are also by the way a number of restaurants that use OpenTable software all around the world, although we may not have a consumer-facing site. The whole process of globalizing OpenTable has been – you'll see recently their latest app update allows Americans to book in London. You'd think that was the simplest thing and that should have been done years ago, but there you go. It's done now, and this allows the app to become global. There's more things around languages as well so that if you go to book a restaurant in Germany and you're from the United States, you'll be able to see the menu and the product in English. And that's the kind of work that's going on and as that re-platforming gets done and we expect that work to be done in this year, then we have some amazing tools to be able to offer both the software proposition to restaurants as well as the demand proposition. You'll see on Booking.com, for instance, if you search New York, we've got a beautiful little ad there that says, hey, book a restaurant in New York for OpenTable, those things we found to be positive experiments. So that's where we are. I'm optimistic. I think ultimately there is a traveler network effect, restaurants are more local business than say hotel staying of course, but on the other hand, transient travelers are extremely valuable to restaurants. I man, selling those last few tables can often be the difference between making money and not making money and they realize that those travelers have choice and they're relatively not near as informed as maybe local people and we think that's a valuable business. And we're seeing good results so far but there's still a lot more work to do.
Brian P. Fitzgerald - Jefferies LLC: Great. Thanks Darren.
Darren Richard Huston - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you. Our next question is from Naved Khan with Cantor Fitzgerald. You may begin.
Naved Khan - Cantor Fitzgerald Securities: Thanks. The growth in properties continues to be pretty strong. Darren, can you add some color as to where you are adding more properties, which regions you see more strength in?
Darren Richard Huston - President, Chief Executive Officer & Director: Yes, okay. Thanks, Naved. So, the really important math here is the diversity in properties and rooms. And we talked about the 22.6 million rooms we have on our website. In Europe, we are actually still adding a lot of properties but because this is our most mature market those properties are becoming smaller and smaller. By the way they are still tremendously valuable because all of these smaller properties add tremendous diversity to our accommodation base, therefore being able to fit very specific needs. They also help us in low availability times. If there's a conference or something, these properties could help fill demand when you're in a supply-constrained environment. So Europe is a lot of properties that are getting smaller and smaller, and that's the nature of the European business. For instance, in Italy at a time we're adding 100 properties a day because these are very small properties in small places, kind of mom-and-pop operated type product. In other parts of the world, we're still adding many large, multi-room. I think India and China, in particular. China, we've entered the year with about 6,500 properties, exited the year with 35,000 properties, a lot of that was organically built. In China we have a lot more to do just adding really large hotels and properties. The challenge in China is making sure you have enough domestic demand to fill those. Inbound China is not a huge market, but domestic China is a huge market. And we're filling those beds through partnerships within China including our relationship with Ctrip. India is another one that just seems to have unending potential for us and we are busy there building out that marketplace. I'd say another part of the world is Africa, Central America; these are areas still where we're adding hotels. But at some point, we will have most of the world's hotels and then there's still a lot of extra property count in these single-owner, single-apartment type products, almost endless to some degree it seems. But we're having to add those a room/property at a time and that's obviously important and tough work.
Naved Khan - Cantor Fitzgerald Securities: Okay. That's very helpful. And then one follow up, earlier in your previous calls, Darren, you've talked about how Europeans were sort of more inclined to stay within Europe just because of maybe FX becoming somewhat of a headwind to travel abroad. What kind of flows are you seeing in terms of tourism or people sort of, staying within boundaries or not?
Darren Richard Huston - President, Chief Executive Officer & Director: Yeah. Thanks, Naved. There's two effects we always see of currency. One is the absolute level of the currency and the other issue is volatility. And a lower euro has a big impact, but it's also the movement in the euro because people need to get used to the fact that the euro is now a $1.11 and no longer $1.35. So we certainly see now that the euro has stabilized that that's had a positive impact on year-over-year base of Europeans starting to travel back to America, starting to travel to the UK, starting to travel to higher currency zones. I think the other point that Dan made, the KAYAK data, that shows that flights are down 15% year-over-year; that actually plays into the travel budget as well. So we're seeing more positive flows of Europeans into these higher currency markets. It certainly hasn't recovered to the time of the $1.35 euro, but it's more positive than it was a year ago. That said, intra-EU travel is still – we're seeing very positive impacts there. There's a number crises in the world, Tunisia, Egypt, even Turkey. The positive there for us is that many of these markets are wholesale package travel markets. We have properties there but they're traditionally sort of the Thomas Cook's, the Tuohy's (33:17) of the world and a lot of that travel is now ending up in Italy and Spain and southern France and that's more of a retail market that plays also to our strength and that's another trend we've been seeing recently.
Naved Khan - Cantor Fitzgerald Securities: Thank you.
Operator: Thank you. Our next question is from Mike Olson with Piper Jaffray. You may begin.
Michael Olson - Piper Jaffray & Co (Broker): Good morning. Just one question, I know you aren't guiding beyond Q1, but high level how are you thinking about go-forward operating margin trends as we lap the acquisitions which could help non-advertising operating leverage balance with dynamics of advertising ROIs and the related impact on advertising expense leverage or deleverage in 2016?
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: Hi, Mike. We don't have guidance for you beyond Q1, but as we said on previous calls, we expect that we can deliver operating leverage in the non-ad OpEx over time. The business is growing fast, it's scalable and so even with the investments that we're making to drive growth in the future, we think that we can deliver leverage there. Off-line advertising, we're going to heavy up in periods where we think we've got good creative and it's moving the needle for us, but over the long term we expect that we would have leverage there too. We'll hit a level of spending that we think is the right level in a market and we'll hit the number of markets that we think we should be in and then our business should continue to grow faster than our spend would. So then the biggest expense is also the biggest variable and that's the online advertising. We're very pleased with what we've seen with the efficiency over the last couple of quarters, but we've had three years before that of seeing pressure on that metric and pressure on ROIs year-over-year. And so it's difficult to predict what will happen there for the future. I have great confidence that we are probably better positioned than anybody else in the market with the most choices to try and convert that paid traffic into a booking on the best websites, the best converting websites from a desktop and mobile perspective with the most clever advertising teams really tailoring our bidding approach and using best-in-class tools to make sure that we spend our money efficiently. So I like our competitive hand there, but I think that it's very difficult to predict exactly how it's going to play out in the future. We have a couple of good quarters in the books there.
Michael Olson - Piper Jaffray & Co (Broker): Thank you.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Mark Mahaney with RBC Capital Markets. You may begin.
Mark Mahaney - RBC Capital Markets LLC: Okay. Let me try two questions please. Booking.com for Business, it's something that seems to be – I mean, you've had it for a while but you maybe have emphasized it a little bit more these last two quarters, so could you talk about the growth strategy there and how material that is to business today? And then secondly, the China outbound market, I know you've called out the Chinese New Year for Q1 and I know this is still a relatively small part of your business, but could you also talk about the materiality there and anything unusual you're seeing in terms of the growth of that segment, particularly the China outbound market? Thank you.
Darren Richard Huston - President, Chief Executive Officer & Director: Okay. Thanks a lot, Mark. So Booking.com for Business, it's worth giving a little bit of background. So we – our sites has primarily been targeted at leisure and over time we've seen more customers come in for business purposes. And that's when we started to make some changes to our site and see if we could get positive conversion and that seem to work. So now you can go on to our site and say am I traveling for leisure or business, if you pick business we highlight things important to business people and they seem to like that. We've also discovered that about 20% of our business is business bookings versus leisure bookings. And the thesis of course is that nobody really knows, but maybe half of travels business, it could be more or less than that, but that points to a pretty big opportunity if we serve the customer wealth. So then secondly, we built a very simple tool that allows the systems to book for business people, it allows you to track budgets, it allows a manager to track where all their people are from a care of duty perspective and now we're also optimizing that tool. We are seeing that our business bookings are growing faster than our leisure bookings which means they're taking share on the site, that's what we want to see. But it's a process of optimization in investment and obviously, if you just think of the sheer size of the numbers going from 20% to 50% for instance, that's a huge opportunity, but we're approaching it in a very typical Booking.com Priceline Group way, which is many small steps, lots of optimization. And we are feeling positive. I think it'll be one of those things that continues to contribute. There's no massive revolutionary move, but more an evolutionary optimization and today feeling great about the progress, but a lot more to do. Your second question, China outbound, some of it's hard to pick through because of Chinese New Year, it's just such a big holiday, and you guys have seen the pictures on the Internet and the train stations full of hundreds of thousands of people. It was another great Chinese New Year, but the real question is where do things swing out? We did see, let's say, a little bit of softness. Now, with China softness is all relative. It's still a fast-growing market, but a little bit of softness in outbound in kind of Q3, Q4, a strong Chinese New Year, and then we have to see from there where it goes. Obviously, the situation in China and the headlines can also rattle travelers, we haven't seen any large material effect. And I also believe our long-term thesis around China certainly hasn't changed. They are the world's largest outbound travelers, and we're going to continue to try to take a bigger share of that business going forward.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Darren.
Darren Richard Huston - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you. Our next question is from Heath Terry with Goldman Sachs. You may begin.
Heath Terry - Goldman Sachs & Co.: Great. Thanks. I know chain hotels are a much smaller part of your mix, but Hilton in particular has been kind of vocal over the last few months about ending last room night availability, and MFN pricing. And they now seem to be getting pretty aggressive in marketing their channels against the OTAs. What do you believe is driving these efforts? And are you seeing any other chains beginning to make similar moves?
Darren Richard Huston - President, Chief Executive Officer & Director: Thanks, Heath. Yeah, as you point out, depending on what you call a chain, we booked 10% to 15% of our business as a combination of global and regional chains. And we're always in contract negotiations with the chains. In fact our take rate is quite stable. With many chains we never or had last room availability, but over time they've given us more availability, partly because it's good business. We bring in a transient traveler. Very few of our travelers stay at the same hotel twice. And this is valuable business because it's incremental. I think what you are seeing is discomfort with maybe the way the world is changing, but you should know our relationships are quite tight. There's also a difference between the chain and the owner of the hotel. I mean, the owner of the hotel wants more of this kind of business, and most of them want to lean into our model. For me, the average chain hotel only gets about half of the business that should be coming to us, partly because of all of these restrictions that are put on it. But many chain owners are also agitating to make sure they get their fair share because the business they're not getting is either going to another chain or it's going to an independent hotel. So, yeah, I don't appreciate some of the actions that get taken at the chain level at times, but our relationships on a day-to-day basis are actually quite constructive and cordial, and our Chain business is actually quite healthy. They have great product, our customers want the product. And most of our customers when they come to Washington DC for instance, they're not looking for the Hilton or the Marriott in Washington, they're looking for a great bed in Washington. And our ranking system presents to them business is well priced. And if the product is not well priced or it's not available, it's not going to convert, and therefore it won't be presented to the customer. That's basically the way it works. And I'm always hopeful we can work through many of these issues when they arise.
Heath Terry - Goldman Sachs & Co.: Great. Thanks, Darren. I appreciate the color.
Darren Richard Huston - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you. Our next question is from Justin Post with Bank of America Merrill Lynch. You may begin.
Justin Post - Bank of America Merrill Lynch: Thank you. Darren, maybe you could comment a little bit about your philosophy on vacation rentals charging the owner as opposed to the renter? Obviously, one of your competitors is going through a transition, why you like that business model? And then Dan, could you quantify at all the Paris impact in Q4? And maybe the Easter impact in Q1? And then Europe really had some good RevPAR over the summer last year. I know you won't guide 2Q or 3Q, but how do you think about those comps in Europe as you approach the summer? Thank you.
Darren Richard Huston - President, Chief Executive Officer & Director: Thanks Justin. Our model, partly the reason we get to our model is we default to it. That's the way and our entire business works. But if you look at our take rate in vacation rentals where we are charging the vacation rental owner and HomeAway or Airbnb, we'll charge a lot to the consumer. The take rates are actually quite equivalent when you look at the total take rate. I think anyone would rather charge to the owner, but if you don't have instantly verifiable deal then you might be worried that the owner is going to say, well, the person never showed up or he didn't stay or we didn't close the transaction. So we're actually in an enviable position to be able to do it the way we do. Obviously, I don't think I've ever met a consumer who likes to pay fees, and we're betting that consumers won't want to pay fees, but more importantly what we're trying to do is make booking a vacation rental or a home or an apartment as easy as booking a hotel room with the same level of trust, with the same feeling like you're going to get what you pay for. There's no post-negotiation on price, which happens sometimes on an on-request model. There's no post-negotiation. Maybe I want you to stay, or actually my room is not available now. And I believe that's where the model will ultimately end up. Getting from where we are today to where we need to there's certainly still a lot of friction, but we're finding pretty positive response to this model and it also, I think, is a nice way to set expectations with both the booker and the place that they're booking. And so we're sticking with that model. It seems to be working for us, but still a lot of work to do. But we're playing sort of a long game here that I think that more experience-centric friction-free models are the future versus how the business is being done today.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: And then your other question, Justin. So Paris impact, I did say in my prepared remarks that we saw about two or three weeks after the attack where our global room night growth rate dropped by more than 10 percentage points. And that was a combination of less people booking and significant increase in cancellations of bookings or that were already in our system. But then such a solid bounce back in December and such a great quarter overall from a top line and bottom line perspective that we didn't go and try to quantify any kind of an EBITDA impact to report to you. I don't feel like there's really anything to explain there, so I feel good with the quarter that we delivered despite the impact. For Easter, we don't have a number there either. I mean, there's a lot of travel that happens right around Easter and we expect that that will move from Q2 last year into Q1, but there are other breaks that people get that are just kind of around the time of Easter, or – I know for my kids, their break is still going to be in April this year, so I don't know that we could precisely quantify for you the exact impact there. But it is beneficial to revenue in Q1. It will be a little bit of a detriment to revenue in Q2. From a gross profit perspective – sorry, gross bookings perspective, it's probably a little bit net negative to Q1 and that during that period where people are traveling the bookings really drop off to a lower level because they're not booking while they're traveling. So that is the way to think about that in terms of gross bookings. And then summer comps, yeah, it was a very strong summer season for us. It's too early to predict now. We're not giving guidance for summer, but we said in our prepared remarks we feel pretty good about the macro travel environment right now and hope that will continue into the summer and paired with lower fuel prices, lower airline ticket prices, hopefully mean some good tailwinds for summer travel.
Justin Post - Bank of America Merrill Lynch: Great. Thank you.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Douglas Anmuth with JPMorgan. You may begin.
Douglas T. Anmuth - JPMorgan Securities LLC: Thanks for taking the question. I just wanted to go back, Dan, to the comments kind of post-Paris and the 10 points of impact that you mentioned, and just in particular was there something that you can point out that drove such a strong bounce back in terms of business? And was there anything that you guys did marketing or promotion-wise that really contributed there? And then secondly if you could give us an update on the BookingSuite business as well? Thanks.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: So in terms of Paris, there was nothing – I mean, our approach with advertising day in and day out is very consistent. So we're looking to generate as much business as we can at a reasonable ROI, and we didn't change anything that caused the trajectory of the business to change. That was consistent. And I think it's just amazing the resilience of people, that even a horrific event like those attacks in Paris, in a relatively short amount of time people became comfortable again with the idea of traveling. Paris still isn't back to where it was pre-attack for us as a share of our business, but has bounced back from where it was. And so I think we benefit also from being a global player with so many different choices where people can travel to, but if they're not comfortable with a particular destination they can find other places where they may feel more comfortable with traveling. So really just the resilience would be the one thing that we'd point to that, thank God there were no additional attacks and so the business bounced back.
Darren Richard Huston - President, Chief Executive Officer & Director: On Just on BookingSuite, we feel really good about the business. We don't have any numbers to share for competitive reasons. But we've built up a team, we added a new product, PriceMatch, it's a revenue management cloud-based tool, in 2015, which has been a nice addition. But generally, the demand for the product is very high and it's been as much an issue, how do we fulfill the demand for the team. But I'm proud of where it's at and we hope 2016 will be another big year for BookingSuite.
Douglas T. Anmuth - JPMorgan Securities LLC: Okay. Thank you, both.
Operator: Thank you. Our next question is from Ken Sena with Evercore Partners. You may begin.
Ken Sena - Evercore Group LLC: Hi. Thank you. Can you maybe just, in terms of the bookings acceleration, talk a little bit more maybe about the vacation rental contribution, and maybe the opportunity there? And then anything on the hotel room night side also? And then you mentioned that IB for TripAdvisor won't be a significant, it won't offer significant impact to the top line or add efficiency, but maybe can you expand on that a bit from a branding standpoint and how satisfied you are with the partnership right now, or the product? Thank you.
Darren Richard Huston - President, Chief Executive Officer & Director: I think I can take both of those, Ken. Well, on vacation rentals generally, and I would say self-catered product, as well is what we call it, this includes apartments and homes and aparthotels, that part of the market has traditionally had a lot more friction in it than the hotel booking side. And as that friction gets removed you begin to see growth. Certainly, there is the Airbnb effect of this being a new way to travel, but more importantly for large groups, families; booking a self-catered product or a home is actually a really good deal, the price value equation looks great. But it's always had all kinds of friction around, well, is it going be there? Where does my money go? They want a deposit, et cetera, et cetera. And as we remove those points of friction, we're seeing good growth in that area. I don't have any numbers to share but that space is growing faster than our core business, which is what you would hope. And we feel like we have plenty of demand as we get ready supply to fill those rooms with guests who are looking for them. The other question was on Instant Book, yeah, it's still very early days, but we're happy with the way that TripAdvisor has fulfilled their side of the deal. The branding looks great. It seems to, particularly in the U.S. market where the early rollout has been, where the Booking.com brand is not as strong, I think that's helped us a lot. They're now rolling out in the markets maybe where we're stronger, maybe we'll help them a bit, where our brand might even be stronger than TripAdvisor's. But I think from a mutual perspective, it's been positive. There's a lot yet to optimize, but we sort of think about it as, wow, we've got an ad and we have a performance tool to drive more business and that's always a real positive thing for the company. I'm still, by the way, optimistic, still very supportive and let's see where things end up as Steve and his team get to roll this product out to more markets.
Ken Sena - Evercore Group LLC: Great. Thank you very much.
Operator: Thank you. Our next question is from Lloyd Walmsley with Deutsche Bank. You may begin.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks for taking the questions; two if I can. First, just there's been a lot of changes in rate parity regulations in France and Germany and wondering if you guys are seeing any discernible trends in how hotels in France may be responding to the Macron Law, how it's impacting conversion and how you think this ultimately plays out in the E.U.? And then second question, similar, the Innovation Box tax regime in the Netherlands seems like it's in a bit of flux, can you just give us a sense of how much of your pre-tax income flows through at the reduced tax rate and how you think either rates or the magnitude of the shield are likely to change over the next few years? Or perhaps maybe grandfathering gives you a long period of time before you see this, any comments on either of those?
Darren Richard Huston - President, Chief Executive Officer & Director: Okay. I will take the first one, Dan you take the second. We haven't seen any major impacts, but it's been a great experimental bed and I think one of the biggest learnings, and I had mentioned this in a previous comment, is customers aren't going to overpay for product. So if the properties are free to price the product the way they went to price it, but if it's overpriced then it won't convert and then they don't get any business. So in a way, the marketplace has this self-actualization to it, regardless of what the rules are. We still believe parity is a very important construct. We think it frankly offers a lot of opportunity also for the properties to have a level playing field so that we're not using our margins to undercut them. But I'm now more comfortable with any regime that people realize that if you want to get bookings on Booking, you have to have a well-priced product, and the marketplace deals with that. And if you don't, then nothing sells. Conversion goes down. Your ranking goes down, and then you don't get any business. So it's been interesting. All of our checks would say that parity in France is at least if not more healthy than most of our markets in the world. And I think that's overall good news.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: And Lloyd, on your second question, Innovation Box, the 10-K will be out shortly and quantifies that exactly. So I'm going to leave it to the 10-K to take care that one for you. It's a significant benefit for us, as you point out. We have a risk factor in our 10-K that I'll also point you to that clearly delineates what we see as the risks related to the Innovation Box. We need to continue to qualify as being innovative, and we need to receive extensions from the Dutch tax authorities. We've done well with that since the advent of the Innovation Box. So I feel confident there. And then there's also developments at the OECD, the Organization for Economic Co-operation and Development, where they're looking to harmonize tax treatment across European Union. And one of the things they're taking into consideration is these Innovation Box type regimes. And they've talked about doing away with them sometime in 2021. So that's certainly a risk out there. 2021 is still a long way away and tax is still subject to change, rates could change, and the OECD's interpretations could change. So those are the things that you should look to and, again, I'd refer you to the specific wording in the 10-K.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Okay. Thanks, guys.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. Our next question is from Peter Stabler with Wells Fargo Securities. You may begin.
Peter C. Stabler - Wells Fargo Securities LLC: Good morning. Thanks for taking the questions; a couple of quick ones. First, regarding the bidding program that allows your hotel partners to improve their ranking in the results, wondering if you could comment on the appetite you're seeing for that in the market? And is participation large enough here to impact blended take rates? Or is it really kind of a non-material service offering that you're presenting to the market? And secondly quickly, any expectation for negative impact due to Zika virus fears? Thanks.
Darren Richard Huston - President, Chief Executive Officer & Director: Okay, Peter. So the first one I'll take. I think, first of all, it's important to understand how the ranking algorithm works. The primary driver of helping us get ranked is conversion. So it really is consumer interest, and you always have to be very careful on how you balance monetization with consumer interest, because if you overweight on monetization you can have a really poor quality result and then no one once wants to come to your website. So at least the way we've done it in the past is we have standard hotels and preferred hotels, and preferred hotels are only allowed to become preferred if they meet a number of experience criteria. And then they pay us a slightly higher commission and can often as much as double their bookings by being preferred. That's been our primary driver. The second one, we do allow some override, they're not used broadly, but a hotel can pay us even more commissions if they want. Say, it's a new hotel, they don't have a lot of reviews or something to try to get a slightly higher ranking, but we never allow them ultimately to buy the very top of the ranking from the very bottomed. It doesn't work that way. So we feel comfortable with the model that we have. I think it's a very – like in any auction site, you have to be really careful with this dial, because you think you might win a monetization, but if you crap up the product then you're not going to have any customers. So that's the way I think about it. And your next question was – Dan, I think you want to take Zika? Yeah.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: So Zika virus, Peter, thus far we haven't seen a significant impact. Most of the travel within southern hemisphere is from other destinations in southern hemisphere, so it's generally people traveling from an area that's been impacted to another area that's impacted. And so we haven't seen it as deterring travel. We don't want to predict what the impact could be for the future, but that's been the impact to-date.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks so much.
Daniel J. Finnegan - Chief Financial Officer & Chief Accounting Officer: You're welcome.
Operator: Thank you. This concludes the Q&A session. I will now turn the call back to Darren Huston.
Darren Richard Huston - President, Chief Executive Officer & Director: Yeah. I guess just in conclusion, we're really pleased with the quarter. I hope you are. It's nice to end the year where we're growing faster than when we entered the year at our size and scale. We always are facing the law of large numbers, but a big thanks to all of our people and mostly just great execution and seeing a lot of growth initiatives begin to pay off is a great feeling. So thanks all for joining the call, and we'll see you next quarter.